Operator: Greetings, and welcome to OTC Markets Group Fourth Quarter and Year End 2018 Earnings Release and Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] please note, this conference is being recorded. I will now turn the conference over to your host Dan Zinn, General Counsel. Thank you. You may begin.
Dan Zinn: Thank you, operator. Good morning, and welcome to the OTC Markets Group yearend 2018 earnings conference call. With me today are Cromwell Coulson, our President and Chief Executive Officer and Bea Ordonez, our Chief Financial Officer. Today's call will be accompanied by a slide presentation. Our earnings press release and the presentation are each available on our website. Certain statements during this call and in our presentation may relate to future events or expectations, and as such, may constitute forward-looking statements. Actual results may differ materially from these forward-looking statements. Information concerning risks and uncertainties that may impact our actual results is contained in the Risk Factors section of our 2017 Annual Report, which is also available on our website. For more information, please refer to the Safe Harbor statement on Slide 3 of the earnings presentation. With that, I'd like to turn the call over to Cromwell Coulson.
Cromwell Coulson: Thank you, Dan. Good morning, and thank you, everyone for joining the call. I'm looking forward to this morning's discussion of the initiatives we work towards and milestones we achieved during 2018 and our key areas of focus for 2019 and beyond. Our mission is to create better informed and more efficient financial markets. We fulfilled that mission by executing our strategy which is operating world leading securities markets. We share information widely through open networks that foster greater transparency. We connect broker-dealers, organized markets and informed investors. We deliver elegant, reliable and cost effective subscription based solutions for a future that is online, data driven and social. Our mission, strategy and company values provide us with a roadmap that allows us to focus on initiatives that will improve our technology platform and data driven products. Product value to our clients, create growth opportunities for our colleagues and continue to deliver long-term value for our company's shareholder. We achieved another record revenue year in 2018 with top line revenue growing 8% year-over-year. Operating income also reached an all-time high, growing 7% for the year. All three of our business lines contributed to our growth which speaks to the combined effort of our entire organization. Bea will cover our results in greater detail in a few moments. Since our last call, our acquisition strategy has begun to come to fruition. We began operating the Virtual Investor Conferences or VIC business following the acquisition of related assets from PR newswire. The VIC platform allows investors to interact with company executives on several levels through live webcast presentations. The VIC business enhances our ability to provide companies with online tools to expand and dynamically communicate within our investor base in a manner that is time efficient for management. In February, we announced the acquisition of Qaravan Inc., a provider of risk and performance analytics tools tailored for the banking industry. Qaravan brings banking data on over 5,000 banks including the large contingent of community bank that trade on our markets. We are big fans of the community banking sector and through Qaravan and similar offerings. We will continue to provide innovative, practical solutions that support cost effective, financial transparency, performance benchmarking and regulatory compliance for the public and private banking industry. One of the benefits of being a public company is that your performance is transparent for all to see. Experienced managers know that well-lit scoreboards and peer benchmarking tools creates stronger players and maximized long-term performance. Qaravan helps us provide those tools to the community banking sector both those that are public today and ones that are preparing to go public tomorrow. Achieving regulatory recognition for our OTCQX and OTCQB markets and supporting small company capital formations with top priorities in 2018. We recently added Michigan to our Blue Sky map bringing us to 34 states. This means OTCQX companies are now exempt from secondary trading rules in two-thirds of the 50 states. While OTCQB companies are exempt in 31. On a national scale, we continue to see support for NASA's proposed model rule which would help additional state streamline the respective Blue Sky requirements. Ongoing collaboration with regulators is a vital part of achieving our goal of national Blue Sky recognition and our large objectives of improving capital formation while supporting investor protection. In 2018, 70 companies graduated from our market to a National Securities Exchange listing making us by far, the most successful venture market in the world again. We continue to see growth in the number of clients using our enhanced data products. These tools provide broker-dealers, investment managers and compliance professionals with the data they need to automate compliance and other processes. Identify operational risk and better address market wide challenges. Throughout 2018, regulatory enforcement actions including a number of Microcap Fraud cases raised the risk profile firms clearing process lower price securities. Some clearing firms have announced policies that limit their activities in the space or restrict certain clients abilities to deposit shares or trade in securities that are priced below $5. We have been working with transfer agents clearing firms broker-dealers and of course regulators and other important parties to frame the discussion and to develop data base solutions that inform investors, allow firms to properly asses risk and respond accordingly so compliant company shares can be easily whitelisted, red flags assessed and bad actors redlined. Our small capitalistic compliant product furthers the reach of our data products by providing information about exchange listed companies. Based on our analysis of the data, these companies can be subject to significant stock promotion. There is demand from broker-dealer compliance seems to intelligently address risk of promotion and identify illegal securities distributions in listed securities. On the trading services front, OTC Link ECN added new subscribers and enabled existing OTC Link ATS subscribers in 2018. We look forward to continuing to work with our broker-dealer community to optimize and experience across each of our regulated ATS platforms. As the operator of two ATS's, one of which is subject to the SEC's regulation SCI, we remain vigilant about the reliability of our systems. While we constantly work to enhance our services and capabilities, we also know that reliability remains the core of our offering. In 2018, we recorded our fourth consecutive year of 100% uptime of our core OTC Link ATS system during regular market trading hours. This achievement is a testament to what our team can accomplish in service of our mission. System reliability and regulatory compliance need to be a core focus every working day at OTC Markets Group. Later this month, OTC Markets Group will open our new corporate headquarters in the heart of the financial district at 300 Vesey Street. While we're sad to leave a space that has served as well 300 Vesey will provide us with the opportunity to further expand our capabilities with upgraded state-of-the-art space. It will be a convenient and cost effective headquarters that positions us well to serve the needs of our colleagues and clients for the next decade. Finally, I'm pleased to announce that on March 5, our Board of Directors declared quarterly dividend of $0.15 per share payable later this month. These dividends reflect our ongoing commitment to provide superior shareholder returns. With that, I'll turn the call over to Bea.
Bea Ordonez: Thank you, Cromwell. As we close out our reporting for 2018 I want to take a moment to thank our fantastic finance and legal teams for all of their hard work over the last several weeks. I will now spend a few minutes reviewing our results for the fourth quarter and year ended December 31, 2018. Any reference made to prior period comparative refers to the fourth quarter of 2017 or the year ended December 31, 2017 as appropriate. I will start on Slide 7, for the fourth quarter OTC Markets Group generated $15.4 million in gross revenues up 11%. Corporate services revenues were $6.5 million up 11%. On our OTCQX market strong sales combined with reduced churn and contributed to an 11% increase in revenues. On our OTCQB market price increases effected in January 2018 with a primary driver of 12% increase in related revenues. Market data licensing revenues were $5.9 million up 9%. Price increases effective to 2018 and impacting certain end of day pricing and data file products coupled with increased usage and new sales drove 24% increase in revenue. We also saw an uptick in the number of professional and non-professional uses of market data. Driving a 5% increase in user license revenue. OTC Link generated revenues of $2.9 million up 15% with revenues contributed by our ECN and an increase in trade message volumes the primary drivers. Turning our attention now to the full year results. For 2018, we generated gross revenues of $59.3 million up 8%. Corporate services revenues were up 9% with strong sales on our OTCQX market and price increases on our OTCQB market driving year-over-year increases of 11% and 12% respectively. During 2018, we added 119 companies to the OTCQX market. A 43% increase in sales over the prior year. We closed the year with 409 companies on the market up from 366 companies as of the prior year end. International companies have been a significant driver of this growth and made up 63% of the total number of companies on the OTCQX market at year end. In that context, in the fourth quarter we completed the process of setting up the UK subsidiary. OTC Markets Group International Limited and in January 2019 opened a small office in London to further support our international sales effort. For the OTCQX market renewals are handled annually on a calendar year basis. In respect of the 2019 subscription period, our retention rate was 94%, a 3 percentage point increase over 2018. We added 243 companies to the OTCQB market down slightly versus the 249 new joints in the prior year and ended the year with 934 companies on the market again very slightly down from the 938 companies as at the prior year end. Our market data business delivered revenues of $23.4 million up 7%. As already discussed in the context of our quarterly results, a mixture of price increases and new sales of certain data licensed product primarily our compliance data products drove much of that increase delivering 26% increase in related revenues. Year-over-year increases in the number of professional and non-professional users resulted in a 2% increase in user license revenues. OTC Link generated revenues of $11.2 million for the year up 11%. Higher trading volumes help drive a year-over-year increase in the volume of trade messages and 11% increase in message revenues. Our OTC Link ECN has continued to win market share and contributed full year revenues of $869,000. Since this launch in December 2017, our OTC Link ECN has added 11 new subscribers and enabled 30 legacy subscribers. We have a seen a consistent increase in trading on the platform, with the average number of transactions executed for the fourth quarter up 14% over the third quarter and an eight-fold increase in the number of trades when compared to the first quarter of 2018. Moving now to Slide 8, on a quarter-over-quarter basis operating expenses were up 15%. Compensation expenses were responsible for approximately half of that increase, increasing 12%. An increase in headcount, the impact of annual salary increases and an increase in the amount of 2018 incentive compensation were the primary drivers. In October 2019, we entered into a sublease agreement for new space in Downtown, New York. We expect to occupy the space in March 2019, but will have continued obligations in respect of our existing space through that day. In the fourth quarter this resulted in a 62% increase in rental expense. We saw a 6% decrease in our information technology and infrastructure cost. While an increased focus on international sales and other PR initiatives drove a 65% increase in marketing spend. On a year-over-year basis, operating expenses were up 9%. Compensation cost make up 65% of our total expense base and increased to 11%. For substantially the same reasons already discussed in the context of our quarterly results. Our information technology cost declines by 6% primarily related to the elimination or reduction of certain information services cost. This was partially offset by an increase in support cost for our ECN and increase spend related to system security. Relating to our upcoming move to new corporate headquarters, we saw 19% year-over-year increase in our occupancy cost. For the full year professional fees increased 22% largely related to fees incurred in connection with our corporate development activities. Marketing expenses also increased by 27%. Turning now to Slide 9, for the fourth quarter income from operations was up 3% while for the full year we delivered growth of 7% over the prior year. Net income for the quarter increased 41% while for the full year we saw an increase of 29%. Both on a quarterly and full year basis the increase in net resulted from growth in operating income combined with a significant decrease in the company's effective tax rate. For the year ended December 31, 2018 the company's effective tax rate was 18% down from 32% in the prior year. The decrease in our effective tax rate for 2018 is primarily due to the lower US corporate income tax rate in effect following tax reform legislation enacted at the end of 2017. For 2018, our effective tax rate was further reduced by a higher research and development credit and the impact of the foreign derived intangible income deduction. In addition to certain GAAP and other measures management utilizes a non-GAAP measure adjusted EBITDA. Which excludes non-cash stock based compensation. On a quarter-over-quarter basis, adjusted EBITDA increased by 4% to $5.6 million. While for the full year our adjusted EBITDA was $23 million or $1.93 per adjusted diluted share up 6%. Moving now to Slide 10, cash flow from operating activities for the full year amounted to $22.6 million, a 37% increase over the prior year. Free cash flows for the year were up 44% to $22 million. During 2018 capital expenditures amounted to $550,000 down versus the $1.2 million spend in 2017. In 2019, we expect to see a very significant increase in capital investment with infrastructure in our primary and back up data centers reaching end of life and spend related to our move to new corporate headquarters driving that increase. We ended the year with $29 million of cash on hand, a strong balance sheet and no debt and benefit from a subscription base, recurring revenue model which produces consistent and predictable cash flow. We continue to operate an investor focused capital allocation policy which returns cash in the form of dividends and through our stock buyback program. During 2018, we returned total of $15.2 million comprised of dividends of $14.2 million and share repurchases of $1 million. In closing, in 2018 we delivered revenue growth across all three of our business lines and expanded our suite of products both through organic initiatives and through acquisitions. As we look ahead, we plan to prudently invest to further enhance our product suite. Add subscribers and grow revenues. We will continue to focus on organic initiatives as well as evaluating strategic acquisition opportunities, while always doing in the context of our commitment to delivering long-term value for our shareholders. With that, I would like to thank everyone for their time and pass it back to the operator to open up the line for questions.
Operator: [Operator Instructions] our first question is from Chris McGinnis with Sidoti and Company. Please proceed with your question.
Chris McGinnis: Also wondering if you could provide any insight around the acquisitions and maybe provide some financial metrics or maybe some growth rates around those businesses that you acquired? Thank you.
Cromwell Coulson: Thank you, Chris. The insights are as we look to expand our strategy from a pure organic growth play to both organic and acquired growth. These are both two acquisitions that definitely target important client groups for us and are also well within our wheelhouse of things we want to be better at. And so, as I look at these two and Bea can go through a little bit with where the financial metrics - pieces are. But these two acquisitions have given us a great learning opportunities and there are also places where if we mess up, it's not going to be that huge. And that's building our muscles to acquisitions. You don't want to learn with a giant shack of shareholder money. The VIC is really important because if you look at how for public companies how do they provide dynamic online content and communication to investors. And those opportunities the VIC is a good core starting point as we move into providing more audio, more video, more ways for public companies to have conversations with their shareholders, but in a time effective manner. So and as an opportunity to buy and acquisition from a larger seller where it hadn't been a core business. The second one is a product of Qaravan which was built out and needed a sales pipeline, needed support of someone bigger behind it and so that was another fit. Both of these products we're going to need to lean into marketing and we're going to - need to invest in marketing this year, going forward to get the products tractions and that's going to build strong muscles for those business line manages. But they're both neither one is giant acquisitions but - from our standpoint is, the learning opportunities and the benefits for our clients if we get it right, are very good and the amount of financial resources to do these is not that high, that I think is a good thing for our earlier acquisitions. I'll hand it to Bea for the financial metrics.
Bea Ordonez: Chris, good morning. Just to reiterate what Cromwell was saying, obviously relatively small acquisitions, asset like acquisitions that didn't come with a big infrastructure carry cost relatively light in headcount. But importantly additive in terms of product and technology and very much complementary to our existing product suite, with strong overlap and synergistic opportunities in terms of our customer base. So for us, the key is to take those as I say relatively small asset like acquisitions and successfully integrate them into our existing product suite and really monetize that technology, monetize that technology enabled platform and do what we do best. Cross sell into our subscriber base, sell successfully into that community bank space in terms of the Qaravan acquisition and more broadly into that issue of space in terms of the VIC. So the VIC, the Virtual Investor Conference business; it was an established existing albeit small revenue stream at Vision [ph] relatively speaking. It just wasn't call [ph], but to us it's meaningful in that, it fulfilled a need that our issuer speak to regularly and so we think we can monetize that and really integrate it successfully. Qaravan again a technology enabled platform that really speaks to our core mission around data, data integrity and data quality and we expect that we'll be able to successfully sell that into our core constituents.
Chris McGinnis: I appreciate that, that's very helpful. I guess in somewhere in relation to that, second question. Just around maybe there's a way to think about new products offered within the last 12 to 18 months versus what you expect maybe going forward, since obviously been helpful in your growth rate.
Cromwell Coulson: I mean we talk about our products when they show up to the clients and there's the ECN is a good example of how we launch a product, come out with core functionality, we talk to clients. We understand if it is either a data or an API driven product that it takes time to get the connectivity to have the clients use it and I think our best products have always been five-year release cycles, of if it's something people have to do. So the ECN is there, the Qaravan, the other places. I mean I think Qaravan's there in the data side. And I think you'll see other products as we look, how can we deliver for clients? Time efficient cost effective products that help them in more effectively connect trades, run compliance processes and communicate and finally raise capital. So I think those are going some of the areas that we're looking it internal organic products or are there some interesting outside products that we can purchase.
Chris McGinnis: Okay. Thanks. One last question. Can you just comment on how the Reg A market looking and maybe versus your expectations, how it's performed up to date and your thoughts of growth going forward? Thanks.
Dan Zinn: Sure, Chris. This is Dan. Thanks for that. So we're obviously excited to see the legislation move forward last year that expanded Reg A to SEC reporting companies and then the SEC completing its rule making towards the end of last year, to allow that to happen. So it really is still in its infancy as an expansion of the rule. I think for Reg A generally since inception the entire community was kind of focused on greater results and more progress than we've seen to-date. But things like attention from Congress and rulemaking by the SEC will give it a little bit of new life. So we're still focused on seeing that work, our markets have been set up since the beginning in terms of the rule base for OTCQX and OTCQB and our discussions with issuers and advisors. And so we remain kind of bullish on the prospect there and it's going to depend on the right kinds of companies following the path and ultimately leading the way for what could be much bigger group behind them.
Cromwell Coulson: Chris this is Cromwell again. The part for us is, what can we do to see some of the various players in the space to help the industry make the transition to online capital raising and that's hard because companies go to the capital raise that worked before. Bankers are comfortable with it and it takes time for new tools to be developed and that's - so that is, that is something that we're putting a lot of thought around now. But we don't - is for these types of structural changes we don't expect them to change hugely, rapidly. But have the type of change within five years significant progress is made.
Chris McGinnis: Appreciate that. Thank you for the color this morning and good luck in Q1.
Operator: [Operator Instructions] our next question is from Andrew Mitchell with Edison Investment Research. Please proceed with your question.
Andrew Mitchell: There are several short questions, please. I was wondering if you can indicate what in rough terms what the OTC Link ECN market share is currently. On the level you're looking to grow from. And then you mentioned that, capital cost and infrastructure investment going to be stepping up quite considerably in the current year. I was wondering if you could some - indication of the sort of level we might be thinking off there. And then on the regulatory front, I'm guessing there's not really much you can have moment as to when NASA will actually adopt the model rule and perhaps you could talk about, you mentioned in the annual looking to gain Federal recognition as well [indiscernible] what steps are required to advance that? On acquisition, I think you explained it very well, what sort of things you're looking at. I'm just wondering whether as you look at it now, there's really quite a large number. You would perhaps be considering and then finally on the effective tax rate. I was wondering if around 20% would still be a reasonable assumption for the current year.
Bea Ordonez: I'll try and take the questions I remember, those were lot - I'll take them slightly out of order. So let me address the effective tax rate, first. We talked about our effective tax rate for 2018 and some of the drivers. If you look at obviously notes you've seen in our financials, you see a pretty handy side-by-side comparison of the 2018 effective tax rate versus 2017, with the big driver being tax legislation. As we look forward into 2019, I would expect our effective tax rate to be broadly inline. It's going to likely move down a smidge and I'll talk about why in a moment and it's responsive to your other question around CapEx. As I said in our remarks, we expect our CapEx for 2019 to be very significantly higher than it has been in 2018. I'll go through that in a moment. The impact of that following the Tax Cuts and Jobs Act is that for certain companies operating certain businesses and we're one of those, for certain investment in assets. When you put those assets into service, you get what's called 100% bonus depreciation. Which means for tax purposes you get the benefit of your investment in year one rather than spread over the life of the asset. So that CapEx spend that we will incur in 2019 will see a tax benefit from that. So in terms of that CapEx like most companies we see natural fluctuations in maintenance CapEx. We saw just under $1 million in 2015, about $400,000 in 2016, about $1 million in 2017, a little over $500,000 in 2018 and obviously we have to invest in equipment and infrastructure and in 2019 we have a number of service and other equipment in our primary and back up data centers that are nearing end of life and we expect to incur approximately $2 million to replace and upgrade that equipment in terms of expenditure and then we talked about our move to 300 Vesey. We've gotten a lot of value of our existing space. We've been here a long time and we're moving now to new space and we're going to incur approximately again $2 million in capital spend related to our move to those new corporate headquarters.
Andrew Mitchell: [Indiscernible].
Cromwell Coulson: So on the ECN market share more broadly. You have to look at our - this is Cromwell. Our market is segmented in various usefulness, there's some market share that we never want, is because we got OTC Link ATS which facilitates market makers pricing and executing trades on their own platform and trading directly with their competitors when there's not - if they only have half the liquidity. So you have to look what the market share is, we unlike most other exchange operators are very happy when Citadel, Vertu or any of our other market makers executed trade on their own platform. They use our pricing. We made them more successful. And we're also happy when they use our OTC Link to directly negotiate with a competitor. So the addressable market share it is never going to be all the trades in the space, in fact it will be less than half. So we comparably look at there's two parts, there is one, is taking away volume from the other ECN in the space, of which we believe we offer significant advantages for firms it want to use matching engine technology. And if you look at the types of securities in our market that trade well on a matching engine technology is the one with lots of orders. So to smaller number of securities that's very compressed. The second part is, there are certain trading strategies that our OTC Link subscribers can expand into because when you're market maker, you want to put the majority of your volume out loud, so you build your brand for high quality executions and liquidity. But there is also some moments when as part of a strategy may want to trade anonymously. So that capability comes in, as our market share goes along, that's what we look at. We're primarily going through same, we want for firms that are not in the market making space, who just want to be able to send things into an electronic matching engine, we're competing for that share, that is not the majority of the market, but it's' a competitive piece and we're also offering new tools to enhance the business of our subscribers. So the second piece is on our infrastructure spend. Our offices we have today - I love for a lot of reasons. It's a great booming neighborhood. When we moved here it was completely unpopular and it's turned into Google wanting to build their headquarters for New York, their new headquarters three blocks away. It's a very hot neighborhood and we've had a competitive lease that we negotiated and our build out that we built more than 10 years ago is fully depreciated and so, from a capital standpoint which is one of our core values. There is nothing better than being on the tail end of a lease where you lasted longer than you thought you would. Now we're moving to new space and anytime you move to a new space, you have two parts. You've got investment in the new space. Where we're moving, the majority was all built out with very good infrastructure. It's a great building. It's better building for a financial, Fintech operator to be in and we're taking advantage of investments that many others have put into this building. It's in Brookfield place which is a couple blocks from Goldman Sachs. So it's a better spot for us. But it is, when you re-price even as we looked around and we're careful where we went, fitting of the cost and for our clients and our colleagues. We're in the beginning of the lease and we're building a piece of space. We're always going to do that. We can't expect that when you change your headquarters, it's going to cost the exact same of tail end fully depreciated lease. But it's going to position us also to be a better space going forward and we're going to be able to do much more interesting things. We're going to be able to provide better environment for people. So on that side, we don't spend a lot of time trying to micromanage our cash flows to make them smooth. We're going to try and get as long as we can out of an investment as long as it's still delivering. But if we have a server that we may have a three-year life on, but we need to upgrade it after two years because of the volume of transactions we're going to spend that money too. And I think that's a really important side is to - we're looking to build this business for the long-term and we're looking to build it. So shareholders over the next decade see more value. And I'll turn it over to Dan to talk about the regulatory pieces.
Dan Zinn: Sure. Andrew I thought I would address these relatively quickly. So with respect to the NASA model rule, we follow that very closely. While there is never any guarantee of what's going to happen with any kind of regulatory adoption. We believe that it should be ready at some point in the second quarter to become a full model rule. Again the states would then have the opportunity to adopt it, on their own. But it will be very nice to have the backing of NASA in that more formal way. With respect to federal recognition that we referenced. That's really a reference to our larger regulatory agenda, so that's inclusive of things like employee stock ownership plans and the ability of OTC traded companies to participate using their public market price, if they qualify. So it's in keeping with what we've been doing with NASA, is looking at the data driven standard, looking at the markets that we've created and the quality of those markets and then modernizing some of the rules in internal revenue code or in the federal reserve regulations with respect to margin eligibility for non-exchange listed companies. So those are among the larger issues that we're pushing on a federal level and to Cromwell's point earlier, once you start to gain regulatory recognition even with the state, it makes other regulators more comfortable in talking to you and evaluating the changes that you made in the modernization of your market. So we're looking to leverage that always and particularly in 2019.
Andrew Mitchell: That's great. Thanks. I think there was just one other questions, like I mentioned last, which is this - whether you have a large list of possible acquisitions or whether it's [indiscernible] the small rough through of things that you're considering at the moment?
Bea Ordonez: Sure, Andrew I'll take that. In terms of acquisitions, we serve a broad range of constituents, we serve issuers, we serve brokers-dealers and other financial institutions. We serve investors. So there are potentially a fairly broad range of companies that serve the needs of some slice of that overall subscriber base. So we spend a fair amount of time looking at companies across that sort of diverse kind of product and sector, universe. Ultimately we need to look at companies that fit our wheelhouse that those are going to be technology enabled companies that serve the needs of one of those constituents, one of those subscriber bases. As I mentioned in relation to Qaravan and VIC. We're looking for technologies that are relatively asset light where we can integrate efficiently into our existing stack, cultural fit is going to be key. But we need something that enhances. We're looking for companies that have a product suite that enhances our existing product suite and serves one of those constituents and ultimately that can be accretive to earnings in a relatively short amount of time. So to the extent that there are companies in the universe those needs. It's a fairly broad list and we're casting a fairly wide net. And as we look at them, we're trying to assess versus some of those factors that I just laid out.
Cromwell Coulson: And so Andrew this is Cromwell, I'd also like to - at a high level. As we look at our acquisitions, the big blue exchanges have basically been pursuing a strategy that has been epitomized by what I call the valiant strategy. Which is you buy businesses, you raise the prices super aggressively and you cut cost which is a big people side, you don't invest in anything in the product going forward and they've been able to do it and you've seen whether the market data hearings because regulators they've had certain regulatory monopolies. Our view point is, on our acquisition strategy we don't want to be holding our valued clients hostage. We want to be delivering products that are time efficient and cost effective. We also want to be growing, being able to buy products where we can invest in and we can improve the experience and we can take their best people. So that side of it is, how do we help our industry and we don't need to become like we're not even look at our overall margins. We're not looking to become the exchange type margin. We don't want to hold our clients regulatory hostage and we think there's an advantage out there. And if you look out there, the big online brokers market markers starting members exchange. They want the trading community is always going to be focused on a low cost, high quality, cheap and cheerful solution and we want to be pricing into that. We also want to be building businesses around that where we derive greater value for others from those products and that platform. So with that, I will leave it open. We're going to look at a lot of businesses. And this is a long-term strategy, there is not one acquisitions that's going to be transformative, it is going to be a road of building our business over the next 10 years.
Andrew Mitchell: I think it is great. Thanks very much.
Operator: Ladies and gentlemen. This concludes our question-and-answer session. I would like to turn the call back over to management for closing remarks.
Cromwell Coulson: Thank you everyone. I invite you to read through our 2018 annual report. Where you will find insight into our performance and the trends and risk we expect could impact the company perceptively [ph]. Efficient public markets depend on individuals who do their own research, analyze fundamentals and make informed investment. You can do that by regarding our annual report. On behalf of the entire OTC Market's Group team. Thank you for your continued support. We look forward to updating you as we continue to deliver upon our objectives and execute on our long-term strategy on behalf of the clients and shareholders, we so proudly serve. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.